Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Shift4 Payments Fourth Quarter 2020 Earnings Call. [Operator instructions] I would now like to hand the conference over to your speaker today, Sloan Bohlen, Investor Relations. Thank you. Please go ahead.
Sloan Bohlen: Thank you. I'd like to welcome everyone to Shift4's fourth quarter 2020 earnings conference call. Before we begin, I'd like to remind everyone on this call that it will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements made on this call that do not relate to matters of historical fact should be considered forward-looking statements, including statements regarding management's plans, strategies, goals and objectives; the potential annualized gross profit related to conversion of gateway-only merchants; our acquisitions and their ability to bring us into a high-growth vertical; the expected impact of COVID-19 on our business and industry; and anticipated financial performance, including our financial outlook for the first quarter of 2021 and the full year 2021. These statements are neither promises nor guarantees, but involve known and unknown risks, uncertainties and other important factors that may cause our actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements, factors discussed in the Risk Factors section of our financial perspectives filed with the Securities and Exchange Commission pursuant to Rule 424(b)(4) on December 4, 2020 and our other filings with the SEC could cause actual results to differ materially from those indicated by the forward-looking statements made on this call. Any such forward-looking statements represent management's estimates as of the date of this call. While we may elect to update such forward-looking statements at some point in the future, we disclaim any obligation to do so even if subsequent events cause our views to change. In addition, we may also reference certain non-GAAP measures on this call, which are reconciled to the nearest GAAP measure in the Company's earnings release, which can be found on our Investor Relations website at investors.shift4.com. And with that, let me turn the call to our Chief Executive Officer, Jared Isaacman.
Jared Isaacman: Thank you, Sloan, and good morning and thank you all for joining us today. For our agenda this morning, we will take you through the business performance, payment and merchant trends and strategic initiatives and we're going to save a bit of time for the fun stuff at the end, which is the road ahead. To begin and as I mentioned, some of these points in my shareholder letter, we just concluded a very challenging year. The economic, social and political issues did not spare anyone. Despite these extraordinary circumstances and having exposure to highly impacted verticals like restaurants and hotels, the team is shaped for performed incredibly well. And I'd like to highlight some of our 2020 accomplishments. So for the year, we grew every material KPI, including number of merchants using our platform, the volume they processed and the revenue generated. This marks our 21st consecutive year of year-over-year revenue growth. But mostly it reinforces the shift towards value proposition is compelling and it's winning share during the best and during the most challenging of economic circumstances. We also completed multiple capital market transactions to strengthen our balance sheet, diversify our base of shareholders and provide capital to fund organic and inorganic growth initiatives. We also completed two great acquisitions including the 3dcart eCommerce platform, which we now call Shift4Shop, which has greatly expanded our eCommerce capabilities and significantly expanded our TAM. We also released several products like our new generation online ordering products, mobile payments for takeout, delivery and curbside ordering and QR code based ordering and payments, all of which were quite timely, given the pandemic and we think we'll continue to feel growth in a post-pandemic environment. We owe our 2020 performance not just to these reasons, but also the dedication of our employees, the support of our software partners and the perseverance of our customers. It's during these challenging times that they make me most proud. As to the fourth quarter specifically, we delivered another reasonably strong quarter given the circumstances. As previously shared, we celebrated the highest volume month at the time in October, which slowed in November and then significantly so in December. We attribute this entirely to COVID requirements on social distancing and cold weather that was not conducive to travel and outdoor dining. Despite these realities, Q4 end-to-end payment volume grew 12% from the previous year to $6.8 billion. Our ability to grow merchant account and volume, while serving some of the hardest hit industries is a testament to our technology, our business model, most importantly, our people. So make no mistake, this is a quarter that included some really rough business conditions. While volume growth is nice to see during a tough quarter, we also look at active end-to-end merchant account, which grew 4% quarter-over-quarter. This continued growth in our merchant base makes us incredibly optimistic as we look forward into 2021. This end-to-end volume growth drove 5% growth in gross revenue less network fees, which resulted in adjusted EBITDA of $26.7 million for the quarter, which is up 10% from the prior year when normalized for a change in accounting for leased equipment. It's also worth reinforcing that virtually all Shift4's merchants and all those that we have been adding throughout 2020 are operating at substantially below normal levels, which we anticipate is becoming quite the coiled spring. As previously announced, we also acquired two businesses in the latter part of 2020. Each very unique in serving different verticals and increasing both our capabilities and our TAM. The Shift4Shop acquisition has significantly expanded our capabilities to serve online merchants and dramatically expanded the market we are capable of addressing with our services. Taylor will provide some additional color on our month-to-month trends. But as I noted at the onset of the call, December volumes declined meaningfully as weather became colder and COVID cases accelerated resulting in stricter social distancing requirements across the country. And we will speak to the uncertainty that still exists from COVID. But what is clear to us is that our nonstop innovation and unique value proposition continues to win across a growing range of merchants and market segments. For those of you who are new to the story, we hope you see Q4 as a perfect example of our business model. We offer innovative solutions to merchants across a broad range of industry categories. Our technologies go far beyond traditional payment acceptance and often give us an incumbency advantage versus other payment providers. We use these advantages to offer a vertically integrated solution at a lower total cost of ownership than the competition. And lastly, we don't sit still and are constantly looking for new industries and geographies as evidenced by our acquisition of VenueNext, which Taylor is going to talk about shortly. As we spoke about on our last quarter's call and I described in my initial letter to shareholders at the IPO, our philosophy is to drive change where we see inefficiency and incremental value for our merchants and to ensure Shift4 is always positioned in the direction the puck is going. So as you may recall during 2020, Shift4 became the official payments partner for the Las Vegas Raiders, the first force in entertainment venue in our history. Within a few months, we have found significant successes across what was a pretty neglected vertical, supported by multiple expensive vendors and lots of legacy technology. We have found that our strength in serving some of the most complex and demanding environments in commerce has made us well suited to solve problems and deliver a better fan experience in sports stadiums, theme parks and other similar venues. This is why we're so excited to talk about our most recent acquisition of VenueNext, which again, Taylor will discuss shortly. On the same note, we just announced today that STAPLES Center will be using Shift4 payment technology. We believe stadiums and theme parks will contribute meaningful incremental intent volume in the months and years ahead. It was just a few months ago that we announced the acquisition of 3dcart eCommerce platform which again we now call Shift4Shop. Our entry into eCommerce came as a surprise to some, but I think it's worth reiterating this is textbook Shift4. We observed an industry category like eCommerce that is massive and growing quickly, yet unnecessarily complex and with multiple layers of fees. Taylor will speak about our go-to-market strategy with regard to Shift4Shop in a few minutes, which I also believe will drive a new layer of growth for our business. These are two new markets that are quite meaningful from a TAM perspective and were largely foreign to Shift4 at the time of our IPO just 9 months ago. Despite having operated this business for over 20 years, I can't recall a time when I was more optimistic about the road ahead. Our merchants are back to experiencing healthy volume growth with a very strong start to 2021. We continue to win share in our core markets and also find new exciting verticals to enter. We also have an impressive capital position right now that affords us the ability to invest in growth accelerants, for which I thank all of you again. And while I have the mic, I feel compelled to share a personal project and a call to action. As some of you may know, I am fortunate to command the first all civilian mission to space later this year, which will be a personal achievement beyond my wildest childhood dreams. And in reflecting on the significance of it, I couldn't help but think about all the children who don't get a chance to live out their dreams. It's for that reason that made St. Jude Children's Research Hospital, my co-pilot on this mission. We began very ambitious even for us fundraising campaign, and I would urge you all to consider a donation. And you can still visit inspiration4.com to learn more. And with that, let me turn the call over to Taylor to discuss our fourth quarter operating results in more detail. Taylor?
Taylor Lauber: Thank you, Jared and good morning. I'm going to take a minute to give some additional detail on volumes to the fourth quarter and then also provide an update on what we've seen to date in 2021. First, we included a monthly snapshot of the quarter to give you all a sense for the reasonably pronounced impact the pandemic had on end-to-end volume throughout the holiday season. We are pleased to report that this decelerization was isolated to December. January, for example, represented a nearly 10% increase in end-to-end volume from the prior year. 7 of our 8 highest volume days in our history occurred during just the last 2 weeks of February. These volume trends are quite positive when considering many of our merchants in large states like New York and California are operating at less than 50% capacity, and several states including Texas were without power during this time period. This ability to grow at a pace exceeding many payment leaders despite a merchant base that continues to be heavily impacted by COVID and occupancy and travel restrictions reinforces the power of our value proposition and the clear competitive advantages we have in our core markets. Jared mentioned the 4% sequential growth in active merchant account during the quarter. Hotels represented a larger than typical percentage as we won several large hotel groups, including Sonesta and their acquired brands to our platform. I do want to note that this Q4 activity does not reflect the impact of our 3dcart acquisition, now branded as Shift4Shop. As we've used the majority of the time since acquisition to reposition the business for what we believe is a highly disruptive go-to-market strategy. If you recall, the 3dcart platform was a mature feature rich web store builder, largely reliant on SaaS revenue. The platform was the driving force behind billions of dollars in payment volume and yet sending this volume to third parties for which merchants were paying yet another vendor for. We've recently launched this Shift4Shop, a platform that is entirely free for any merchant using Shift4 payments. Competitive platforms charge as much as 300 per month and actually more for enterprise and B2B features and still rely on third-party payment processing. This investment isn't simply a branding and marketing exercise. We also repackaged the platform to make it highly intuitive and created a payments enablement process that is second to none. We also introduced Facebook and Instagram integrations and count fraud detection at no extra cost for our merchants. On that note, in the brief time, we've owned and operated Shift4Shop, we've accomplished many of the integration and branding goals for our first year of ownership. We've also increased the number of web stores by roughly 8,000 or 54% since acquisition, which we think is the appropriate way to measure success this early in the integration process. We also have an exciting roadmap for Shift4Shop that we believe will continue to impress merchants and help them grow. Make no mistake, we believe this platform will compete successfully among the best eCommerce businesses in the world, and believe we can double the pre-acquisition site count by the end of this year. While the depressed volumes are real in the fourth quarter, what is masked is the upside potential that Shift4 has across a broader set of merchants when the quarter began. While there's uncertainty on the pace of economic recovery and consumer spend in '21, our growth should compound is that activity recovers given our expanded share. Before I turn it over to Brad, I wanted to close with providing you an overview of our acquisition of VenueNext. VenueNext is a best-in-class provider of mobile ordering and point-of-sale solutions for sports and entertainment venues. Their technology began as an in-seat ordering app, envisioned and ceded by the San Francisco 49ers and has evolved into a full stack solution including point-of-sale for concessions. Their applications have been proven in every major sporting category, including the NBA, MLB, NFL, NHL and MLS, and also power mobile ordering at some of the nation's largest theme parks. And a story that should be familiar to you by now, VenueNext was competing very successfully to win these marquee clients. But the integration of payment providers included a web of gateways, merchant acquirers and hardware providers. We took an approach of partnering with VenueNext to offer a more streamlined solution and quickly won several world class merchants including the STAPLES Center in Los Angeles. We've discussed our enthusiasm towards this channel in previous calls, but now only entirety of the stack and believe our solution will be incredibly competitive. The mobile technology is also as application in adjacent verticals, and will have applications far beyond savings. We believe that VenueNext best-in-class technology will track $2.5 billion to $3 billion in incremental volume by the end of 2023. We published a summary of the transaction on our website that included a chart to illustrate how through these two transactions, our TAM growth has doubled since our IPO, which was just 9 months ago. Now I'll hand the call over to Brad to walk you through our financials.
Bradley Herring: Thanks, Taylor. As mentioned in our release, we generated $88.8 million of gross revenue less network fees in the quarter. This represents a 5% increase over the prior year, it was up just 1% compared to last quarter for the reasons Jared and Taylor spoke to. The year-over-year variance was driven by a 23% increase in net processing revenues, driven by continued share wins and gateway conversions. Net processing revenue now makes up 63% of our gross revenue less network fees, up from 54% for the same period last year. Growth in net processing revenue was offset by modest declines in gateway and SaaS other revenue streams due to the impact of COVID-19 on our hospitality merchants and our continued efforts to convert gateway and nonrecurring revenue sources to our ongoing spread based monetization model. Our net spreads for the quarter was approximately 81 basis points, while the spread on interchange remains at lower than normal levels due to shifts in card mix. Specifically, the spread on interchange for the quarter was approximately 179 basis points, 8% lower than prior year. We reported $26.7 million in adjusted EBITDA for the fourth quarter. If we apply consistent accounting treatment to our equipment leases in 2019, this represents a comparable increase of 10% over prior year. Our fourth quarter results represent an adjusted EBITDA margin of 30% against gross revenue less network fees, again, applying consistent treatment of equipment leases. This represents a 110 basis points increase from prior years, we continue to benefit from additional scale. Compared to the third quarter, adjusted EBITDA margins declined by 270 basis points due to COVID related volume slowdowns in the back portion of the quarter, as well as the impact of our recently announced acquisitions. Next, let me give you an update on our capitalization and liquidity as we had a very busy quarter. First, at the end of October, we completed a successful offering of $450 million of senior notes that are due in 2026 and carry a coupon rate of 4.625%. The proceeds of the offering were used to pay off the entirety of our previous term loan facility, which saves us approximately $4 million in annual interest expense. Additionally, that offering establishes Shift4's participation in the public debt markets, which will offer us an additional source of capital going forward. Second, in December, we completed a highly successful offering of $609 million of convertible notes that are due in 2025. The deal was upsized from an original offer amount of $400 million and price with zero coupon and a conversion rate of effectively $80.48 per share. Finally, in December, we completed a 9.2 million shares secondary equity offering priced at $55.50 per share. These shares were sold exclusively by Searchlight partners. As a result of these Q4 activities in our previous capital raises, we ended 2020 with $927.8 million in cash and $89.5 million of available capacity on our revolving credit facility. Subsequent to the end of the quarter, we've restructured our revolver and increased its capacity to an even $100 million. I want to take a minute to mention some financial revisions that will be disclosed in our 10-K filing. These revisions primarily impact 2018 and '19 and reflect noncash balance sheet adjustments and geography changes within the P&L. While there is an immaterial net income impact, it should be noted that these revisions have zero effect on our reported revenues EBITDAs or net cash flows. Finally, I'd like to discuss our outlook. During 2020, we provided quarterly guidance because of the significant variability in volume patterns driven by COVID. With volume trends returning to more normal levels of variability in the back half of 2020, for 2021, we will be shifting to annual guidance. Let me first make a few comments about the first quarter. As you've certainly seen through our activities across various media channels, we’ve recently initiated a major rebranding effort related to the integration of 3dcart. These investments will place our new eCommerce solutions Shift4Shop as a leader in the eCommerce market to drive additional merchant boarding to significantly increase our TAM. The impact of this effort will largely be isolated in Q1 and will be treated as a nonrecurring integration expense in our financials. That said, here is our guidance for 2021. We expect full year 2021 end-to-end volumes to be between $36 billion and $38 billion. Gross revenues are expected to be between $1.1 billion and $1.2 billion, while gross revenue less network fees are expected to be between $450 million and $460 million. Adjusted EBITDA is expected to be between $155 million and $160 million. Note that this EBITDA guidance excludes the impact of the Q1 integration investments I mentioned previously as well as any inorganic sources outside what has already been disclosed. Similar to my outlook comments for the last few quarters, there still remains a lot of uncertainty related to the recovery curve. While the numbers for the first 2 months of 2021 suggests the slowdown in Q4 was largely temporary, there are still a number of moving parts later to COVID that could impact our volume and results in the near-term. With that, let me turn the call back to the operator for questions.
Operator: [Operator Instructions] Your first question is from the line of Darrin Peller with Wolfe Research.
Darrin Peller: Hey, guys. Thanks for the question and congrats on a good year in a tough environment. When we look at the strategic investments you're making, clearly, it's much further into Shift4Shop, eComm and obviously now stadiums as well as we -- as we see these moves, probably more so than I think a lot of us even expected at this point after the IPO. So when you talk about, first of all, if you have the right now first on the eComm side, where are you in terms of your strategic build out there? Is there enough done that you can actually run with it? How material can this be for you guys through this year and next? And then maybe just tell us a little more of the differentiation you guys offer besides pricing that can really help that succeed?
Jared Isaacman: Yes, good morning. Thank you. Appreciate the question. So I guess first, just to say, I don't think it should be that surprising that we continue to seek out industries that are challenged by multiple different software vendors adding complexity and costs that we think we can do a better job providing more vertically integrated solution. As we were saying towards the end of last year, we get an awful lot of questions about our gateway conversion strategy. But we’ve been in business 21 years, growing in payments and gateway for only part of our story for the last 3.5 almost 4 years. So, you should expect us to continue to kind of find these interesting opportunities with a lot of growth behind them, a substantial payments opportunity to unlock and a big TAM to win share from going forward. eCommerce, if you look at kind of the spectrum that we’re able to address, if you go back 6 months ago, we were able to do kind of the ultra enterprise version of eCommerce that complemented some of our hospitality and type of customers. And then Shift4Shop has added a very SMB kind of at the entry point into eCommerce type capabilities. There’s an awful lot that lives in between that I would expect us to continue to invest in both organically and inorganically in order to cover the full spectrum of card-not-present commerce. So that’s going to be a pretty big focus for us just when you consider how much opportunity lives in that market. And then talking a little bit about VenueNext. We love the stadium space. Our exposure to it is actually rather recently with Raiders Stadium, as we mentioned in our remarks. But what we learned there is, wow, this is not that dissimilar to the hospitality environments that we do exceptionally well. You’ve got a restaurant inside, you’ve ticketing, you’ve got merchandise sales, you’ve bars, some of these newer stadiums have nightclubs. And it’s like, wow, this is very similar to the hospitality environment we’re good at, and it’s got multiple different software applications that are all coming together. This is an area that we should put more attention to. And our journey began mostly with collaboration with VenueNext. And then it was just clear, based on early successes, as we mentioned, Staples Center was a big win we announced today, that we could take this a lot farther, and not just end in sports and entertainment, but bring it into theme parks and other large entertainment venues. And I’d say towards this general question is, is it done? No, no, it’s not done because commerce is huge and there’s a lot of opportunity as commerce enabling software and payments come together, both in new verticals in the U.S market as accelerants to the current verticals we’re already in and then in new geographies that we think could benefit from an integrated payment solution like we’re capable of offering.
Darrin Peller: All right. That’s really helpful, Jared. Just a quick one on margins and I’ll turn back to the queue. But you guys guided towards numbers on revenues that were above us. On the margin side, it seemed more in line. I’m just curious. I think you mentioned something about an expense in the beginning of the year, I may have missed, but just investments versus any one-time items. Thanks again, guys.
Bradley Herring: Hey, Darrin. This is Brad. So there are a couple of things. One is, we do have some investments teed up next year to shore up some of the things we talked about in some previous calls. And there’s also a near-term impact of some of the acquisitions that will flow through over time as well. So you’ll see that in the near-term. But over time, the margins driven by those acquisitions are going to get us back to those numbers that we previously guided to. But you’ll see a little bit of compression here in the next couple of quarters as we absorb and kind of digest those acquisitions.
Darrin Peller: Got it. All right. Thanks, guys.
Operator: Your next question is from the line of Tim Chiodo with Credit Suisse.
Timothy Chiodo: Great. Thanks a lot, and that context on the margins is really helpful. So the data you gave around the number of merchants being up year-over-year, super helpful, as well as the up 4% quarter-over-quarter. It really gets to your point earlier on the coiled spring in terms of a lot of these volumes in this year’s cohort coming on at a very COVID depressed level. If there’s any context you could give us around maybe the average size of the merchant base now, maybe relative to 2019 levels. And I guess, for the context there, you mentioned that some of those more recent additions were in the hotel vertical, which would also be supportive of a larger size merchant.
Taylor Lauber: Good morning, Tim. This is Taylor. Thanks for the question. As we look at our average merchant size, we try not to spend too much time on 2020 over 2019, only because of the COVID impact. To answer your question in sort of a pointed way, we see across the gambit, usually merchants coming out of the tail end of 2020 were down between 30% and 60%. And then there’s lots beyond that, quite frankly. Hotels that were flat out closed, a lot of the hotels, we bought it during the quarter, use that time -- that downtime to implement systems like our own. So we would say that the average size of the merchant we bought it in a normalized state is substantially higher, but you can’t really discern that from their 2020 levels.
Timothy Chiodo: Yes, completely with you. That’s exactly what I was getting at, more the more -- the normalized level, not on the COVID depressed type level, so fully follow you there, same page. Okay, great. And then a minor follow-up on 3Dcart. So that 8,000 incremental web stores pretty quickly, pretty impressive. Could you just get a little more context on those 8,000 web stores? Were some of them from existing Shift4 merchants adding this capability with a fully net new that type of context?
Jared Isaacman: Yes, sure. Jared here. I’m happy to answer that. So this is almost all just share wins and largely related to the rebranding and promotion effort that that we undertook over the last really, call it, 5 weeks or so. So we spent the first 2 months after the acquisition really just getting 3dkart ready for its big debut as Shift4Shop. There are a lot of things we had to do internally in terms of having a more frictionless onboarding that’s hyper appropriate for Shift4Shop type customer, but not really typical for, say, a Hyatt or a Hilton that the type of customers we typically interact with. So there is a lot to get ready for internally. And then obviously around February 1st, we really highlighted the platform in a big way. And that’s where all of that growth really came from. And it’s continued to maintain a very healthy state of production even since. We actually only just began enabling our 7,000 plus software partners with a means to sign up Shift4Shop customers in the last probably week and a half to two weeks. So one of the areas that we’re most excited about with the acquisition is enabling third-party distribution, because that is not very typical at all, call it the other shop that’s out there or the other web store eCommerce players. So we’re really kind of in the early innings of that. And again, we actually haven’t even really begun the cross-sell to the existing base of customers either. This was really just highlighting the platform and with a pretty disruptive pricing model and making available an awful lot of features and capabilities that the other players charge quite a lot of premium fees for and seeing how the market reacts. And then, as you can tell, I mean, we’ve really increased the size of sites by about nearly 50% in a pretty short period of time.
Timothy Chiodo: Yes, definitely. Thank you, Jared. So sounds like all new and now third-party distribution is enabled, so very good. Thanks a lot for taking both of those questions.
Jared Isaacman: Thank you.
Operator: Your next question is from the line of Ashwin Shirvaikar with Citi.
Ashwin Shirvaikar: Thank you. Hey, Jared, Taylor, Brad, good to speak with you guys again, and good job in a very tough environment. I guess, let me start with asking about the cadence of quarterly expectations for 2021, particularly net revenues and EBITDA. What are you assuming with regards to an economic recovery?
Bradley Herring: Hey, Ashwin, it’s Brad, I’ll take that. So, we put together our guidance, that’s probably where we spent the majority of our time as the leadership team kind of looking at patterns. In fact, we were looking at patterns up until the last couple of days. Some of the numbers Taylor mentioned has started to come in pretty well since January, February kicked off out of 2020. The recovery curve is going to be a big question. We think there’s certainly signs that we are seeing recovery. We talked about the cold spring as merchants start to get back to more normal processing levels. We still think that’s probably a year to a year plus before that full recovery really starts to kind of get us back to what we would consider "normal". The pace of which you’re going to see some seasonality, right? We always see seasonality in this business. Q2 and Q3 are going to boost because of weather, a lot of outdoor dining, et cetera. But I still think 2021 is still going to be a recovery year. It’s going to behave a little different than a normal pattern. But I would expect year to year plus for getting us back to normal and expect some seasonality boost between Q2 and Q3, just like we would normally see in a more normal environment.
Ashwin Shirvaikar: Got it. Okay. And then the other question, I just wanted to just dig in a little bit into sort of net revenue outlook versus end-to-end volumes. The net revenue outlook was a bit higher than our estimate. So how much -- from a contribution perspective, yield, inorganic contribution, subscription, other and gateway maybe some kind of a breakout like that, if you could provide that would be great. And before I get off, I also wanted to just say, to Jared just on a personal note, really appreciate what you're doing for St. Jude.
Bradley Herring: Yes, sure, Ashwin. So kind of talking about the revenue, we've always had this ongoing premise. And it goes back to us in the IPO that you’re talking about how we're shifting our revenue streams into the net processing revenue. One of the stats I mentioned in my previous readings was around shifting that from 54% last year in the quarter, now we're over 60%. So there is an ongoing movement on our behalf, very intentional, to make sure that that net processing becomes bigger and bigger as a proportion of our revenue streams. We will be looking at the gateways for conversions. We're always targeting different ways of driving those merchants to convert from the gateway to the end-to-end solution. And then we still have some SaaS and other revenue streams. Now those have been boosted a little bit lately with some of the acquisitions that have more SaaS model. What we are exploring is, how do we morph those back into our existing revenue model, where we convert the SaaS and other fees back into the payments model. So I think you're going to see a continued trend, right? You're going to see continued trends that the net processing revenue becomes more and more of our revenue streams, which is also going to be very helpful for us as soon as these recoveries do kick in. That's where those recoveries are going to monetize. So I think we positioned ourselves really well. And that's part of our ongoing model, whether that's the back book, if you think of the gateway or the forward book if you think about our recent acquisitions of 3dcart and VenueNext.
Ashwin Shirvaikar: Got it. Thank you.
Jared Isaacman: Thanks, Ashwin.
Bradley Herring: Thanks, Ashwin.
Operator: Your next question is from the line of Matthew O'Neill with Goldman Sachs and Company.
Matthew O'Neill: Yes. Hey, good morning, gentlemen. Thanks for taking my questions. I was just hoping we could dig in a tiny bit more on the acquisition. So on VenueNext, for example, I appreciate the guidance in the out years, but I was curious if there is any way to frame either what you're expecting for this year for it to contribute? Or maybe what 2019 was like in kind of a pre-COVID more normal environment? And then similarly, I was just curious on 3dcart now Shift4Shop is, is that back end completely converted? So is it all accruing as end-to-end volume kind of following the rebranding? And I guess the same question for VenueNext, if it is now, or will it be at some point soon?
Taylor Lauber: Yes. Hey, Matthew, it's Taylor. Thanks for the questions. With regard -- I'll answer your second question first, which is from a payments compatibility standpoint. Yes, both platforms are able to take payments via Shift4. It was actually relatively easy. As we mentioned, I think on an earlier call, the Shift4Shop platform, it integrated to numerous payment gateways. So this was like a week long effort. And from about the midpoint of November forward, that was the preferred payment method for any of the new shops that we're boarding. VenueNext, as we mentioned, this is a phenomenal transaction that we're thrilled about. I mean, this is a partner that we would have considered one of our top partners coming into the end of 2020. It's a software application that was winning in its own right, with its full pricing in some of the most demanding venues in the United States that gave us all the confidence in the world to partner up with them and through an acquisition make the value prop that much clearer to customers. And so in terms of expectations, we sort of laid out a $3 billion by year end 2023 target. I think the reality is, that's not a terribly significant portion of the sports and entertainment market. And yet this tool has been able to win share an incredibly rapid rate with a sales model that's somewhat disjointed. Meaning you got to bring in a famous partner, you got to bring in a gateway, sometimes you're integrating other software suite. So we think we'll be able to far surpass that. We like to set conservative goals for our shareholders when we put out guidance. But we're incredibly optimistic about the past and also the adjacent verticals, right? This is a mobile first technology that has performed incredibly well in stadiums, but it is a demand that merchants in a lot of different categories have. It already exists in the largest theme parks in the country. And you can see its application across lots of resorts and other things. So we are incredibly excited not just for the ability to cross-sell into a vertical that was an emerging vertical for us, but also the ability to deliver best-in-class technology across multiple verticals and do the payments work with Shift4, yes, that's how we went out and won the STAPLES Center last year.
Jared Isaacman: Yes, and Jared here. Just to layer on to some of Taylor's comments and go into some of the specifics, we wanted to set expectations, which is why we gave a sense of where we thought we would be in terms of end-to-end volume contribution from VenueNext in the next couple of years. But really didn't want to drill down into any more specifics, because there's a lot going on here. First, this business, again, is growing very, very fast. If you look at the presentation we put out, there's a lot of, obviously, recognizable sports team and entertainment venue logos. Those were accumulated essentially over the last 18 months. So to Taylor's point, this is technology that's doing incredibly well in its own right, kind of charging full freight for everything. So we just have a lot of past experience that when you combine those type of models with our integrated payments approach and eliminate some of those pain points, you're only going to accelerate growth. So we have to see what that looks like. And then second, like to Taylor's point on some of the adjacencies, and I think this is probably just a bullet point that may get overlooked in the presentation itself. We see VenueNext is providing our right to win within kind of regulated gaming environment. So, if you look at whether it's fantasy, or some of the other sports betting type opportunities that are happening in app, it's our relationship with VenueNext, it's already made some of these conversations come together. And that in itself is very, very hard to predict because it is also growing at a really wicked fast rate. So we want to at least just kind of set some initial expectations with the idea that we're going to refine it in the quarters ahead, as we kind of bring together that vertically integrated value prop that's done well for us in the past. So I would expect more updates in the future.
Matthew O'Neill: Got it. Understood. Thanks a lot everyone.
Operator: Your next question is from the line of John Davis with Raymond James.
John Davis: Hey, Good morning, guys. I just want to hit on 4Q revenue for a minute. Obviously, with the COVID spiking cases in 4Q in the corresponding lockdowns, volume fell quite a bit short of your initial expectations, yet you're still able to hit the revenue outlook. So just curious kind of what came in better in 4Q from a revenue perspective than your initial expectations?
Bradley Herring: Yes. Hey, John, it's Brad. I'll take that. We've talked previously about kind of spread expectations, right? We've talked about as the average merchant size grows, we expect to see that soon, that spread starts to decline just based on purely mix from those larger merchants. When the volumes pull back, it certainly had an impact on this larger merchants as well. So what we did see is spread come in over expectation for the quarter. That's why I mentioned 81 basis points for the quarter, which is slightly ahead of what we were expecting to see, given the pattern we would have expected to see with a larger merchant base coming on board.
John Davis: Okay, great. And then as we think about year-to-date trends, I think January up 10 is encouraging. Can you give us a sense on what February was on a year-over-year basis? Or even the exit rate just to help us with 1Q modeling?
Jared Isaacman: Yes, sure. February was a really interesting month. And the exit rate we really wanted to highlight because the back half of February, in particular, was incredibly strong. We sort of phrased it with the idea that 7 of the 8 best days in our history were during that second 2 weeks. And that's really what drove it. February on a year-over-year basis was up just shy of 6%. And that's comping up a really strong February pre-pandemic 2020. But if you look at that exit rate, you get pretty exponential growth, and even into the early days of March. This is an area where you're starting to be incredibly optimistic. I think as you heard from Brad, our long-term guidance suggests about the same recovery out of the pandemic that we would have told you pre-IPO, right? It takes about 18 months. And yet we're seeing incredibly positive trends in just the last few weeks. And I think what's important to understand is, there's really no seasonality that should drive that. So it's really just merchants across the country. And it's also, as was mentioned, occurring at a time when significant portions of the country like Texas, had no power. So there was like no contribution of volume. So we're incredibly optimistic. I can't say it enough about where we're exiting February and what early March looks like.
John Davis: Okay, great. And then one final one. Brad, just CapEx outlook for '21?
Bradley Herring: Yes, I think what you're going to see we typically run -- excuse me about $5 million a quarter in CapEx per acquisition cost, which is obviously the one of the biggest things that we focus our capital deployment on. I think you're going to see some gradual creep in that. We talked about increasing our customer acquisition costs as we shorten the payback periods because we think we've such a significant opportunity to board new merchants. But I'm thinking of probably a 5% to 10% increase over the exit rates of 2020.
John Davis: Okay, great. Thanks, guys.
Operator: Your next question is from the line of Andrew Jeffrey with the Truist Securities.
Andrew Jeffrey: Hi, good morning. Appreciate taking the questions. Jared, I wonder if you could comment a little bit about -- a little bit on the growth you're seeing by channel. My inference from the update you gave in January on fourth quarter volumes with 20% growth in the end-to-end channel suggests that that's really outperforming, which I assume is a function of conversions. Maybe you can elaborate a little bit there and just a sense of how you're doing in the ISV channel versus your direct channel, because I assume some of that contributes to the comments about the leverage to recovery on the other side of COVID.
Jared Isaacman: Well, I mean, first, I'd say almost all of our customer production, whether it's gateway conversions, or just pure net new wins, originate through an aligned software partner. So, I mean, that is our model. We do have the direct team, but they work and in -- they work in collaboration with our software partners. So virtually everything is an ISV channel for us, because 99% of all of our transactions are connected into software. I would say in terms of the performance that we've been sharing over the last few quarters and even the update as of today, it's almost all coming from the core elements of the business, which is our focus on hospitality, restaurants and more complex retail. So the production mix between gateway conversions and net new wins is still rather consistent at about 50% in each direction. I think what you have here is just a lot of continued caretaking. Merchants are continuing to migrate to a single vendor solution and cutting out the cost and complexity of a multi vendor environment. The acquisition of Shift4Shop, which has taken us more into eCommerce, it was a recent event and we spent literally the last 3 months in like -- in a accelerated integration plan focus to be able to board customers of that size and the impact of which we've only started to really see in terms of it [technical difficulty] February. And even our interest in stadiums, which certainly there was Raider Stadium and what we've recently announced with STAPLES, that's contributed virtually zero volume at this point just given the realities of the pandemic. So all of the growth that we're seeing, like the numbers that Taylor shared, that have already been rather eye watering in the last couple of weeks of February and early March is all a result of our focus on hospitality and restaurants.
Andrew Jeffrey: Okay. That’s helpful color. So it sounds like vertical driven growth. And then, Shift4, Jared, you've done a lot of things that are pretty innovative and groundbreaking in the industry. And now when I think about Shift4Shop and the pricing model, can you talk a little bit about the economics around that and how over time you drive good returns, as you subsidize, I guess the -- maybe the front end of the eCommerce selling?
Jared Isaacman: Yes, I mean, it's certainly a good question, right? How is Shift4 -- Shift4Shop kind of go-to-market and completely forego a lot of SaaS and premium fees that it seems some of the largest giants in industry are heavily dependent on and how are we going to be able to monetize entirely through payments? Well, I think there's a couple of factors there. First, we were very fortunate to buy an asset that had already invested quite heavily over the years in a lot of capabilities and features that we don't need to invest quite as much in the road ahead. So that's one factor. Two, the fact that we own all of our own payments, infrastructure is pretty important, because it means we're going to be able to capture greater spreads off payments, which will contribute more meaningfully for to the bottom line. It allows us to monetize the relationship with that customer in a way that's a little bit different, even from the super behemoths that are out there that do depend on other third parties, which does eat into some of their payment related margins. So we are pretty focused on this. I think what else is important is that the story doesn't end with just buying 3dcart and rebranding it, and then having a disruptive pricing model. There is an ongoing investment to fund various internal and through inorganic initiatives. We looked at Shift4Shop as a kind of -- as a means to serve customers that are very different from our core. I fully expect it to turn into something that has a lot more direct to merchant self help type capability for even card present retail shops, smaller restaurants. We will absolutely incorporate as part of our roadmap capital offerings. And certain things we're looking at with crypto acceptance because you're dealing with a different audience than our traditional kind of up market enterprise e-restaurants and hotels, where some of those features wouldn't necessarily be of greatest utility. And these are all things we're taking into account for the long-term and how we're going to move the needle with Shift4Shop.
Andrew Jeffrey: Super helpful. Thanks.
Operator: Your next question is from the line of Jason Kupferberg with Bank of America.
Mike Colonies: Hi. Good morning, guys. This is Mike filling in for Jason. Just a quick follow-up on margins. So if we look at the implied adjusted EBITDA margins at the midpoint of the guide of around 34.5%, I believe you'd been expecting margins to approach the upper 30s by the end of 2021. Now is this still the case? Or should margins be slightly lower than this exiting the year perhaps due to the step up in both investments you talked about? It sounds like there could be some pressure in the first quarter or two as you integrate recent acquisitions. But how should we think about margins in the back half of the year? Thanks.
Bradley Herring: Yes. Sure, Mike. Hey, this is Brad. Very good observation, and you're exactly right. We are expecting the full year guide at the midpoint was in the mid 30s. But think about how that's going to evolve over the course of the year, right, the first quarter or two. As we digest some of these acquisitions we mentioned those would be a little bit lower, and they will certainly accelerate as we get into the back half of the year. So the guide for the back half of the year in the high 30s is not changing.
Mike Colonies: Great, thank you.
Operator: Your next question is from the line of Chris Donat with Piper Sandler
Christopher Donat: Good morning, gentlemen. Thanks for taking my questions. Wanted to ask one on the end-to-end volume guidance for 2021. Just to confirm, is there any material volume coming from Shift4Shop and VenueNext in your '21 guidance? Or is that immaterial at this point from the acquisitions?
Jared Isaacman: It's largely immaterial. I mean, what we're signaling, and Brad sort of commented on a little bit with the first quarter, second quarter margins is we're signaling really strong assets and desire to invest in these businesses, and incredibly strong potential over the back half of next year and into the following.
Christopher Donat: Okay. And then, Jared, in the -- in your shareholder letter, you comment that you're pursuing several strategic opportunities. Just curious where you're allocating your time with the Shift4Shop acquisition, and you got a lot of plans there and then VenueNext and then you had an incredibly busy 2020. I imagine you're going to have an incredibly busy 2021 with some other activities also. Just trying to understand where you're putting your focus this year?
Jared Isaacman: Well, the answer is, we're doing all of the above and you just don't need an awful lot of sleep. So we've spent an awful lot of time in -- well, first, I have to say, like, we have an incredible team, just be clear. I think if you replay some of our discussions, probably our Q2 and Q3 earnings calls, we said, we're going to be investing in talent. As some of our competitors are going through their own big merger integration plans and talents becoming available in the market, we're going to get it because we do intend to do take advantage of a lot of these opportunities we see in the market at the same time. So there's a great team here. And we have some really talented people focused very much on the Shift4Shop roadmap and what that's going to look like. And I gave some hints as to some of the things that we are -- that are in works right now. And we obviously have a lot of good things going on from a day-to-day perspective, because that is what's moving the needle. As mentioned, all the performance we're seeing in a very, very depressed market is coming largely from the hospitality restaurant and specialty retail customers we have today. And that will continue to win share from the -- in the journey ahead. But there are also other strategic opportunities we're pursuing in a couple of very interesting directions, actually. So I think the answer is it's certainly worth our time to pursue all these opportunities while they're available, and do the other day-to-day things at a pretty exceptional rate. So yes, I think that's the philosophy right now is we're not going to pass up anything.
Christopher Donat: Okay, got it. Thanks very much.
Operator: Your next question is from the line of Michael Del Grosso with Compass Point.
Michael Del Grosso: Good morning, guys. Thanks for taking my question. I wanted to ask about some of the legacy gateway platforms, merchant link, et cetera. I know you're a little bit over a year into those integrations. But how much of that gateway volume has been converted? And then, some of a long -- I guess a longer term question is just around your expectations for conversion in 2021. I mean, 2020 was really a transformative year in terms of tech investments for merchants I think a pretty significant opportunity for those merchants to shift if they wanted to. So what are your expectations around 2021? And what are you thinking it's going to take to get those merchants across the line, if they haven't converted already? Thank you.
Jared Isaacman: Yes, so really good question. And as I mentioned, our production still is rather consistent on average that 50% of the customers that are joining our platform are pure net new wins just share taking in the market. And then 50% continues to come from the existing gateway customers who are shedding all that complexity and cost from the multi vendor environment and adopting our end-to-end solution. That that's consistent even through today largely as we think through our planning for the years ahead. We continue to make very consistent type of assumptions. There's a lot that goes on in that gateway world. You have 350 plus ISVs, you have a lot of enterprise customers. And as we've always said that the carrots, the incentives that we make available to our partners and customers, they kind of click at different times. And the problems that we solve for our customers 2 years ago, that influenced a lot of gateway migrations are different than the problems we solved today. In the last, call it 2 weeks, I'd say, Radisson, which is one of our gateway customers, big hospitality brand actively started endorsing all of their customers, all of their locations on our gateway to move to our end-to-end platform, and that created a nice surge. Similarly, Jonas Club, which is another ISV, that's more in like golf and membership clubs, if you will, they're an existing gateway customer, gateway ISV that we've had for a long time, they just started actively endorsing. So this type of thing just continues to happen and will continue to happen as it goes forward. I think one of the questions that we're going to start asking ourselves, and this is not in the next year or 2 years or 3 year type thing. But is being a gateway, if you will, and making available connectivity to what are essentially our competitors, is that even a good strategy anymore? Or is it just a legacy model that should go away, and we just no longer even offer that service. And I mentioned that because if you look at some of the really fastest growing type integrated payment solutions that are on the market, they don't offer a gateway at all. First Data or Fiserv's Clover product does not have a gateway option to ship for or global payments or anyone else out there. Toast, fast growing obviously, restaurant player does not have a gateway option. Square does not have a gateway option. Shopify has some very punitive costs if a merchant used another provider. So right now we love the kind of carrot incentive first approach that's been serving us really well with the gateway migration. But certainly at some point in time, we might want to ask ourselves that is the product and features that we're making available to our customers with such value, that it no longer is really even required. And in doing so, we would certainly expect that would also pull forward a lot of volume from that gateway to end-to-end platform.
Taylor Lauber: Jared, did a good job about commenting on the feature there. But I do think it's worth revisiting the past a little bit, I think it's important to note, not a single merchant who's joined our end-to-end platform from the Merchant Link acquisition has given us a normalized like month worth of volume. There is still tonnes of growth potential inside of the merchants that have already migrated. And I think that's worth emphasizing because we acquired that business towards the end of 2019. We bought it. Merchants pretty steadily throughout, but the pandemic hit very shortly thereafter. So we tried to sort of allude to this during our comments, but the volume potential inside of all those merchants that have already joined us is pretty phenomenal as well.
Michael Del Grosso: Okay, thanks. That's helpful color. My follow-up is on capital allocation. I mean, I think the elephant in the room, so to speak, is nearly $1 billion in dry powder that you guys have, and you just completed a $70 million or so acquisition. Is that the size of deals that we should expect going forward? Or Jared, how are you thinking about some of the options for strategic M&A going forward?
Jared Isaacman: Yes. And certainly Taylor should weigh in on this too, but one, I mean, obviously, we feel very fortunate to have such a significant cash position that really affords us a lot of options that we can look at in the market. One thing, and we've said this before, even in the fourth quarter when people were expecting us to do something rather large is like, we're not going to feel pressured to do anything that we don't want to do right now. If playing small ball works for us really well and we can continue to find just total gems, like VenueNext and 3dcart, where we know we can unlock a lot of value, that's what we're going to do. I'd say that, Taylor, has a very full pipeline right now. And in terms of like deals of size that could be rather transformative, you're talking about at least three that we've been investing a fair amount of time in. And then if you're looking at smaller deals that kind of similarly have a profile like a VenueNext or like a 3dcart, there's an awful lot of them there, too. So I think like throughout our whole history we've really been rather disciplined allocators of capital. We tend to think about all the things that can go wrong and not get excited about necessarily the shiny thing of the moment. And that's going to continue to influence our decision making on the road ahead. Taylor, if you want to…?
Taylor Lauber: Yes, well said. I think, Jared, summarized it pretty well. The book ends or that there's always a handful of really transformative transactions that we'd love to get done, but they're complicated, they require a party on the other side and we'd like to keep optionality with those. I can tell you there's more than one that helped us grow exponentially in completely opposite directions. And we keep those both on the table as long as we can. And we'd love to do both to the extent the environment affords that. There is also an incredibly long line of the VenueNext, the 3dcarts of the world that have just watched our ability to help a business like theirs grow through a vertically integrated customer model. And so there are quite frankly more of those than we can handle, a plug for the strategy department or taking resumes. We'll do as many of those as we possibly can. And to the extent they give us access to new verticals like both those transactions did, we love it. So yes, we keep a really open pipeline. On the small end, they're coming to us, quite frankly.
Jared Isaacman: Yes, one thing I'd add in terms of an area that we've kind of taken, new interest in as of the last really quarter is in charitable giving. I think the exposure that we've had collaborating with St. Jude Children's Research Hospital on Inspiration4 for has really enlightened us as to the payment industries that that kind of support philanthropic and charitable giving, and there's an actually an awful lot there. There's technology now that enables donations in live stream video games, and it actually has quite the following. So there's actually quite a few things as we turn our attention a little bit more towards that that have been rather enlightening to us that I think just will be something that will probably give some focus on in the months ahead.
Michael Del Grosso: Understood. Thank you. I appreciate you taking my questions.
Operator: Your next question is from the line of James Faucette with Morgan Stanley.
Priscilla Russo: Hi. This is Priscilla Russo on for James. Two quick questions. So you've talked about the -- a number of hotel deals coming on the platform. Can you talk about the RFP/competitive dynamics so far in 2021? Is there particular verticals or merchants that have decided to look for alternative payment providers, such as yourself on -- early on this year?
Jared Isaacman: Well, as kind of we mentioned before there's been -- we actually boarded quite a few hotels over the last two quarters, some pretty -- sizable actual properties that would be in areas that were more impacted by the pandemic, which really afforded them the opportunity to have the conversation, look at their infrastructure from a technology perspective and use that downtime to make good decisions, which Shift4 certainly has benefited from and that's just kind of reinforces the point that Taylor has made a few times. Every single one of the customers that we have at Shift4 today and every single one of the customers we boarded essentially over the last years is operating at a pretty depressed state. So that's like hyper coiled spring effect that we're going to be paying attention to. But as to your question on RFP specifically, we boarded 25,000 plus customers and that please don’t -- that doesn't take into account any of the Shift4Shop numbers that we shared before, just in the last year. And I'd say maybe less than five of those relationships came from an RFP. So -- and that's really consistent throughout our entire history. We try and position ourselves so that there's no one else who can really compete from an RFP perspective, because certainly it was the thing in the past prior to Shift4 strategy really being developed over the last 4 years, where hospitality merchants would have an RFP for payment hardware, and they would have an RFP for secure payment gateway, they might even do an RFP for tokenization, or PCI validated encryption. And then they do an RFP for merchant acquiring. And that's because that that industry was essentially served by four or five different vendors to complete a payment experience. Now with our M&A strategy and how we've kind of bundled together our services and really created that vertically integrated solution for the market, we were able to eliminate all those vendors and all the costs associated with it to really have a differentiated solution. And as a result, a lot of the merchants that we boarded have migrated to our platform without ever really needing to do an RFP because the solution we're able to provide was so unique. And I actually can't recall a single RFP we've seen in 2021, so far.
Priscilla Russo: Perfect. And then just one quick follow-up. Jared, congratulations on the Inspiration4 admission announcement. Should we actually be thinking about the day-to-day operations and the management of that as that -- as you proceed with that endeavor. Is there going to be any chance to Shift4 and if not, any classification that would be helpful?
Jared Isaacman: No, as I mentioned before, we really benefit by having a rockstar team that we've actually been investing in quite a bit over the last few quarters and adding talent to the organization. We actually have, as Taylor was kind of joking before, we actually had quite a few open positions, too that we're continuing to look to fill. But I did shed quite a bit of responsibility prior to the IPO. I was one of the Co-Founders and CEO of a reasonably sized defense aerospace company for a decade. I did give up my CEO position, I resigned my Board position just to free up so that we could -- I could focus on all the things that are very important to Shift4 as well as some of the other things of interest, like Inspiration4. I am lucky that I'm able to structure an awful lot of things on nights and weekends. So it doesn't impact any of my day-to-day responsibilities. But, of course, this is something -- these are conversations that have been well discussed with our Board of Directors, all of the various appropriate governance and contingency things have been discussed. But I don't expect it to be impacting any of my day-to-day responsibilities.
Priscilla Russo: Perfect. Well, congratulations, again. Thank you.
Operator: Your final question is from the line of Dan Perlin with RBC Capital Markets.
Dan Perlin: Thanks, guys and thanks for sneaking me in today. I had a question about embedded in guidance is this gross profit margin at 60%. And I fully appreciate the mix shift that goes along with in the end that's been a big part of the story. But 60% margins, that's even better than I think we would have all expected even in the out years at the time of the IPO. And so I'm just wondering, what are some of the other incremental drivers to that? Because obviously that cost of sales number at 40% is also a lot lower. So is there a bigger mix shift that's occurring because of all these other solutions that you've rolled in? And then how do we think about the cadence of that gross profit margin throughout the year? Thank you.
Bradley Herring: Hey -- sorry, hey, Dan. It's Brad. I'll take that. We're really proud of that gross margin rate. I mean, I think, a big part of that is going to be what we think our spread performance looks like. This all comes back to this underlying strategy of how we're monetizing the different products and services we offer. And this is why when you monetize those items through spreads, you're actually able to get some spread expansion. So, that's why we reported a spread of Q4 just right at 81 basis points and we've seen that historically. If you look around our competitive landscape, you're not going to see those kinds of numbers. So as we shift these monetization models out of lower gross margin type items, think of equipment sales that a bunch of our competitors are going to see, that is a very thin margin business, right? So the way we monetize our equipment deployments, the way we monetize encryption, and all the different components of our end-to-end solution through the spreads allows us to maintain gross margins that we're really proud of, and are going to be in that 60% range.
Dan Perlin: Great. And how do we think about that as an exit rate when we go into the back half of the year since you're going to be jumping off into materially lower rate, it seems like in the first half? Thank you.
Bradley Herring: Exit rate as of 2020?
Dan Perlin: 2021.
Jared Isaacman: 2021. I think -- I’m thinking about second versus first half because the margin profiles look quite a bit different.
Bradley Herring: Yes, and I think you're going to see that. You're going to see the first -- the first quarter is going to be -- first and fourth quarter are typically our lowest margin quarters, just because there's some seasonality factors in there, you're going to see margins expansions in Q2 and Q3. So as we get into the back half, you're going to have to factor in kind of that normal seasonality focus of Q1 and Q4 are going to be a little thinner, Q2 and Q3 are going to be a little bit heavier. But we still should see some expansion from Q1 into Q4. We've talked about this recovery curve and as we get back to normal, the increased scale of us with the really high pass through rates is certainly going to flow through as margins. So I think you've got a little bit of abnormality related to the recovery curve. But exit numbers out of 2021 are going to be slightly higher than they are going to be in Q1. And then the objective is by the time we get into 2022, we are going to be a much more normal seasonality pattern.
Dan Perlin: Got it. Okay. Thank you guys very much.
Jared Isaacman: Well, thanks everyone. Really appreciate the great questions. So just to close things out here, obviously, really appreciate everyone giving us some time this morning, hear some of the updates that we have going on Shift4 -- at Shift4. I'll end by emphasizing again that 2020 for all this challenges is a year that everyone at Shift4 can take a lot of pride in. We not only operate the business through turmoil and volatility, but we grew rapidly because of our unique approach and value proposition for merchants. In addition, we applied the ambition in Shift4's DNA to lay the groundwork for growth in new and large markets like eCommerce. And most important, our commitment to our customers has never been more evident through community engagement like Shift4 Cares. So I appreciate, again, everyone's time for joining in. Thank you and have a great day.
Operator: This concludes the Shift4 Payments fourth quarter 2020 earnings call. Thank you for participating. You may now disconnect.